Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to Intchains Third Quarter 2024 Earnings Conference Call. This conference call is being recorded. If you have any objections, you may disconnect at this time. Joining us today is Mr. Chaowei Yan, Chief Financial Officer of Intchains; and Ms. Minty Wang, Investor Relations Director. Mr. Yan will provide an overview of the company’s performance and the details of the company’s financial results. After that, we will conduct a question-and-answer session to take your questions. I’d now like to turn the call over to Minty Wang, Head of Investor Relations at Intchains Group Limited. Please go ahead.
Minty Wang: Thank you, operator. Good day, everyone. I'm Minty. Welcome to Intchains Group Limited Third Quarter 2024 Earnings Call. For today's call, Mr. Chaowei Yan, CFO of Intchains Group Limited, will provide a comprehensive overview of the company's performance and financial results for the quarter. Before we proceed, I would like to remind everyone that today's discussion will include forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on the company's current expectations and projections regarding future events that may impact its financial condition, operating results and strategic direction. The company undertakes no obligation to publicly update or revise any forward-looking statements to reflect subsequent events or circumstances or changes in its expectations except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, we cannot assure you that such expectations will turn out to be correct, and the company cautions investors that actual results may differ materially from the anticipated results. Investors should review other factors that may affect its future results in the company's registration statement and other filings with the SEC. We will discuss certain non-GAAP financial measures. Please also refer to a reconciliation of non-GAAP measures to the comparable GAAP measures in the earnings press release. The presentation and the webcast replay of this conference call will be available on the Intchains website at ir.intchains.com. Now let me turn the call over to our CFO, Mr. Chaowei Yan. Please?
Chaowei Yan: Thank you, Minty, and everyone, for joining Intchains earnings conference call for the third quarter of 2024. On today’s call, we will provide an overview of our operational and financial performance. After that, we will conduct a Q&A session to take your questions. In reviewing the third quarter of 2024, the cryptocurrency market was mostly range bound with Bitcoin price remaining relatively stable, while other cryptos experienced varying degrees of decline. The crypto industry’s narrative primarily focused on national and institutional investments in ETH, while some funds flowed into the Meme sector due to a lack of prevailing applications. However, as the fourth quarter began, the result of U.S. president election strengthened global investors’ expectations for pro crypto regulation, leading to renewed optimism about crypto’s future development. In November 2024, Bitcoin price consistently broke all-time highs. And sectors such as payment, Meme and RWA also experienced rapid growth. We are confident about the upcoming development of the crypto market and actively preparing new ASICs and beginning primary efforts to build blockchain applications. As the company’s growth strategy in the long term, Intchains’ vision is to achieve growth that transcend crypto cycles through the developing applications based on Web3, while in the short term, the company is primarily focused on increasing ROI during crypto cycle. We enhanced ROI through continuously exploring promising crypto projects and accumulating Ether. In third quarter 2024, we continued to drive sales of our Goldshell-branded computing equipment, designing for Kaspa, Alephium, Dogecoin and Litecoin mining. This decision has allowed us to effectively capture the crypto market trends emerging in the fourth quarter. To seize the current wave of cryptocurrency development, we will continue to actively explore new projects and expect to produce new ASICs by first quarter 2025. Meanwhile, we will stick to our Ether accumulation strategy, whether in the peak or trough of the crypto cycle. In the third quarter 2024, we continued to implement our strategy to accumulating Ether, reaching 4,149 Ether as of September 30, 2024, representing a 71.7% increase as of June 30. This month, we were excited to see that the total market cap of cryptocurrencies reached a historical high with Ether price surpassing the average cost of our holdings as of September 30. Furthermore, as part of our initial foray into blockchain application expansion, we launched the Goldshell Pay in this quarter, offered a one-stop payment solution for merchants. Based on our confidence in the future of the crypto industry, we plan to launch a hardware crypto wallet in the fourth quarter, which will further enhance complete payment product line and application ecosystem. We are confident that as Intchains’ positioning and business model become more defined, our company’s growing potential and long-term value will be fully realized. Moving forward, Intchains will continue to lead the industry, collaborating with partners to drive robust growth across the crypto cycles. Now I will provide a brief financial overview on the third quarter of 2024. I’m pleased to report that the company’s third quarter revenue was CNY 60.3 million or USD 8.6 million, representing a year-on-year increase of 781%, continuing the strong growth momentum from the second quarter of 2024. Revenue from the overseas accounted for 66.2% in the third quarter of 2024. Our global expansion strategy has been well continued since the second quarter. Our sales volume of ASIC chips for the third quarter was 207,838 units compared to 165,056 units for the same period in 2023, representing an increase of 26%. Revenue for third quarter was driven not only by the increase of sales volume but more importantly by the rise in the average selling price. The gross margin was 67.7% in the third quarter, reaching the highest level since Q1 2023, primarily due to the higher gross margins for our latest ASIC chips products launched in 2024 compared to the older ASIC chips products. In terms of total operating expenses, it was CNY 37.7 million or USD 5.4 million for the third quarter, representing an increase of 90.8% for the same period of 2023. The increase was primarily due to the loss on fair value of cryptocurrency and an increase of share-based incentive expenses. The loss on fair value of cryptocurrency for the third quarter was CNY 13.1 million or USD 1.9 million. It was primarily due to the volatility of the cryptocurrency market with Ether price falling 24.2% from the end of second quarter to the end of the third quarter. While in November, as mentioned before, the Ether price surpassed the average cost of our holdings as of September 30, 2024. Our net income for the third quarter was CNY 3.2 million or USD 450,000. And the non-GAAP adjusted net income was CNY 19.1 million or USD 912,000, both turning from a loss to a profit compared to the same period of last year. This was primarily due to the faster revenue growth in the third quarter compared to the growth in cost of revenue and operating expenses. This quarter, we started to disclose non-GAAP adjustments net – non-GAAP adjusted net income and primarily exclude share-based compensation expenses. We believe non-GAAP net profit reflects the company’s ongoing operational performance. Basic and diluted net earnings per share was RMB 0.03 for the third quarter of 2024 compared to the basic and diluted net loss ordinary share of RMB 0.16 for the same period of 2023, each ADS representing 2 of the company’s Class A ordinary shares. Looking ahead, we will continue to focus on product and project innovation and foster the adoption of blockchain technology for our clients and partners. We look forward to updating you on our progress. Thank you for your continued support.
Minty Wang: Thank you, Mr. Yan. At this point, I'd like to open the floor for questions. You're welcome to ask questions in Chinese or English, and we will provide English translation when necessary for convenience purpose only. In case of any discrepancies, please refer to our management's statements in the original language. Now operator, we may start the Q&A session. Thank you.
Operator: [Operator Instructions] The first question comes from the line of [Marco Chan from Golonghui] Research.
Unidentified Analyst: This is Marco from [Golonghui] Research. Congrats on the company's strong growth in Q3. Firstly, I noticed that the company launched an app called Goldshell Pay in Q3, and you said you plan to launch a hardware crypto wallet in Q4. So my question for you is that, can tell us a little bit more about the assumptions of your Goldshell Pay and your hardware crypto wallet? And what differentiates yourself from the other app and wallets in the market?
Chaowei Yan: Okay. Thank you for your question. First, the Goldshell Pay was released in the third quarter. And it is a one-stop payment platform serving global merchants currently and supports our merchants to receive cryptos, including Bitcoin, Ether, Dogecoin, Litecoin, Polygon in both USD Coin and Tether USD. Goldshell Pay serves including – not only limited to payment process but for the risk monitoring and data analytics. However, it’s still in the early stage. We do not expect it to generate revenue in the short term. And for the hardware wallet, it’s still in confidential and doing development process. But what we can say is that both Goldshell Pay and Goldshell wallet is an important step for us to explore our product line and develop our application ecosystem. And of course, both products will not have any custodian function, and the users should store their security key by their own, yes.
Operator: Next question is coming from the line of [Tao from Maxim].
Unidentified Analyst: My question is also related to the wallet to be launched in the short future. So could you give us some projections about what the cost and how the revenue would be like driven by this project? And also, is this project to be developed in-house or the company is -- have a third-party partner to launch this cryptocurrency wallet?
Chaowei Yan: Okay. Okay. The company’s management firmly believe that in the future of blockchain application, which is also one of our reasons behind our long-term Ether accumulation strategy. In the past – over the past few years, the company is primarily focused on providing mining assets for altcoins. And these projects have proven that it’s successful. But – however, we are not remain confined to our comfort zone. So instead we have continuously sought the next growth curve for our company. So as we mentioned, in previous years, we did not venture into blockchain applications because our primary focus was on achieving business survival through ASIC sales. Now the sufficient cash reserve and sustained – to sustain us to – we have a sufficient cash reserve to sustain us to – through the cycle and the market that has developed a certain level of awareness of blockchain applications. The management believes it is time to begin exploring blockchain applications, starting with payments. Goldshell Pay is designed to offer merchants one-stop payment solutions, providing risk monitoring data, operating and other functions with service fee collected in the process. And our hardware wallet is another product set to be released in the fourth quarter. But the further details will be disclosed upon launch. So currently, all these are in trial stage. We do not expect both Goldshell Pay and wallet will contribute materially to our profits during this phase, and it’s difficult to provide a specific commercialization time line. So – but we aim to continue exploring variety of application directions and breakout of our current operational comfort zone and then achieve long-term stable growth. Thank you.
Operator: [Operator Instructions] You question is coming from the line of [David Lee of Premier] Partners.
Unidentified Analyst: I wonder, the company has been saying that it had -- one of the strategies is accumulating Ether, which is a little bit different from more popular strategy, which is accumulating Bitcoin like MicroStrategy. So can the management elaborate on that strategy in particular? And also, some other company are also adopting -- like some leveraging or even some other financing to do that. So is the company also planning to do so?
Chaowei Yan: The question is why we choose Ether accumulating, right? So regardless of whether it's in bull or bear market, the company remains sticking to accumulating Ether. And the reason for cumulative Ether is, firstly, we position us as an altcoin development company. Our primary business focused on providing ASIC chips for promising PoW coins. As PoS one of the main consensus mechanism besides PoW, we aim to share growth of POS sector by accumulating Ether. Therefore, investing in Intchains is in a sense similar to investing in enhanced altcoin portfolio, which offers a higher beta in all markets. Secondly, the company's founder has a technical background and certainly believes in widespread application of the crypto industry. We have also begun initial trials in blockchain applications. Currently, Ether remains the dominant public chain for Web3 application, making our strategy of accumulating Ether is -- accumulating Ether a natural fit. Finally, the altcoin market is relatively untapped and overcome complete crypto cycle. The company has consistently generated operating profits and maintain self-sustaining growth. As a result, the company has a healthy cash reserve. This reserve allow us to navigate crypto bear markets smoothly and tends to lower overall ROI during bull market. Accumulating Ether serves as one way to improve our ROI. And finally, for the financing -- possibility of financing strategy to accumulate assets. At present, the company primarily used its own cash to accumulate assets. However, we are aware that some U.S. listed company have deployed financing strategy to accumulate cryptocurrency like MicroStrategy. And their stock price, as you indicate, investors give full recognition of their approach. So as such, we will consider joining their successful experience and may explore financing options for asset accumulation at the appropriate time. Thank you.
Operator: [Operator Instructions] At this time, it appears to be no more questions from the line. Allow me to hand the call back to the management for closing.
Minty Wang: Okay. Thank you, operator. If there are no more questions online, maybe let’s call it a day. And also, I want to say that if you have further questions, you can contact us through e-mail or maybe you can – after this conference, you can visit our website to refer to the materials we listed. Thank you, operator, and thank you, everyone.
Operator: That does conclude today's conference call. Thank you for your participation. You may now disconnect your lines.